Operator: Please stand by. We're ready to begin.
Earl E. Congdon - Old Dominion Freight Line, Inc.: Good morning and welcome to the First Quarter 2018 Conference Call for Old Dominion Freight Line. Today's call is being recorded and will be available for replay beginning today and through May 4th by dialing 719-457-0820. The replay passcode is 8205556. The replay may also be accessed through May 26th at the company's website. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements among others, regarding the Old Dominion's expected financial and operating performance. For this purpose, any statements made during this call that are not statements of historical fact, may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects, and similar expressions are intended to identify forward-looking statements. You're hereby cautioned that these statements may be affected by the important factors, among others, set forth in Old Dominion's filings with the Securities and Exchange Commission and in this morning's news release, and consequently actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. As a final note before we begin, we welcome your questions today, but ask, in fairness to all, that you limit yourselves to just a couple of questions at a time before returning to the queue. Thank you for your cooperation. At this time, for opening remarks, I'd like to turn the conference over to the company's Vice Chairman and Chief Executive Officer, Mr. David Congdon. Please go ahead, sir.
David S. Congdon - Old Dominion Freight Line, Inc.: Good morning and welcome to our first quarter conference call. With me on the call today are Earl Congdon, Old Dominion's Executive Chairman; Greg Gantt our President and Chief Operating Officer; Adam Satterfield, our CFO. After some brief remarks, we will be glad to take your questions. What a great quarter to start 2018. I can think of no better way to approach the end of my tenure as Old Dominion's Vice Chairman and CEO than to have such a strong quarter to accompany our previously announced leadership transition. As you know, since our last conference call, we announced strategic leadership changes that the board approved under our designed long-term succession plan. Greg Gantt will become our President and CEO effective May 16th, I will become Executive Chairman succeeding Earl Congdon, who will become Senior Executive Chairman. I'm very proud of the board and our leadership team for their careful planning and preparation for this change and I expect the transition to be seamless. Important to note that Earl and I will remain actively engaged in the company as board members and executive officers. Neither of us is ready to retire. We are significantly invested in this company, both personally and professionally, our continued influence is important and we love being part of such a high quality team. Just as Earl recognized that I was CEO when he transitioned the position to me, I also recognize Greg Gantt will be our CEO as of May 16th. Given this, I look forward to having the flexibility to dive deeply into my new role as Executive Chairman. Being able to call on Earl's experience and perspective has been a great asset for Old Dominion and me personally, and I believe I can add the same kind of value in my role for many years to come. The board and executive management team have the fullest confidence in Greg Gantt's ability to lead Old Dominion to new highs. He has consistently demonstrated his capabilities in his 24 years at the company, and since 2002 when he was named Senior Vice President-Operations, he has been the primary driver of our industry leading service product. His intense focus on building quality and superior performance is not only his own personal hallmark, but it continues to drive the customer and people-centric culture of the company. While every employee plays a role in providing superior service, Greg's leadership as well as that of his management team have been the motivating force behind the consistent improvement in our service metrics. Shippers increasingly appreciate and trust our service product as evidenced by our long-term growth in market share as well as our recognition by the Mastio & Company as the number one LTL carrier for eight consecutive years. I also want to take this opportunity to recognize and thank Earl Congdon for the leadership he has given Old Dominion in his nearly 70 years of service since becoming General Manager in 1950 following his father's untimely passing. He has been an invaluable mentor and counselor for me and our entire leadership team, as well as an inspiration to the entire company. We are delighted that he plans to continue his active participation on the board and the executive management team. And finally I'd like to recognize our board of directors for their foresight, guidance and support as we've prepared the company for this transition. I will always appreciate the board's confidence in me, in my executive leadership roles at the company for the last 20-plus years and in my continuing role as Executive Chairman and as a member of the executive management team. With that, I'll turn the floor over to Greg Gantt to discuss our first quarter results.
Greg C. Gantt - Old Dominion Freight Line, Inc.: Thanks, David and good morning. Let me start by adding my thanks to all the employees of Old Dominion. Our ever-expanding team continues to raise the bar every quarter and our ability to maintain superior service with double-digit volume growth during the first quarter was impressive. Just in case there is any question about my focus when I step into my new role of President and CEO next month, I want to be perfectly clear. I do not intend to deviate from the business strategies that have created our unique position in the industry and driven the significant long-term increase in shareholder value. We will continue to focus on providing superior service at a fair price, while also continuously investing in capacity and our people to support our long-term growth objectives. We will also look to continuously improve all areas of our operation, which is a critical component of our foundation of success. These strategies have been in place for years and are continuously reviewed by our senior leadership team. Thanks to this experienced team, which I've been fortunate to be a part of for many years, Old Dominion has created an unequalled record of long-term growth in the LTL industry. We entered 2018 with operating momentum and believed we were uniquely positioned to win further market share by continuing to deliver our value proposition of superior service at a fair price. I was pleased with our first quarter results, which included significant revenue growth of over 20%. This revenue growth included a combination of a 15.4% increase in LTL tons and a 5.9% improvement in LTL revenue per hundredweight in what has continued to be a favorable pricing environment. Handling this kind of growth which included a 10.5% increase in LTL shipments while maintaining best-in-class quality standards and disciplined account profitability goals is not always easy. Yet, not only did we maintain the extraordinary service that Old Dominion is known for, with on-time delivery of 99% and a cargo claims ratio of 0.2%, but we also produced a 180 basis point improvement in our operating ratio, which is a new first quarter record for the company. Challenges of producing this kind of performance in these circumstances are evident and some loss of productivity in our platform and pickup and delivery operations. Nevertheless our strong margin and earnings growth show why we will always be willing to do what it takes to meet our service standards, even if we incur additional cost to do so, as we did in the first quarter. When we deliver our value proposition, lost productivity in a given quarter represents a future opportunity to drive improvement in future periods, while maintaining a service product that our customers have come to expect and rely upon. We are proud of our first quarter accomplishments which differentiates our company like nothing else and proud of the people who produce them. We thank everyone from our newest employee to our longest serving. From this great start to 2018, we believe favorable industry dynamics remain in place for the industry to continue its growth in 2018. And with continued execution of our business strategies, Old Dominion is uniquely positioned to capitalize on this opportunity. Thanks for your interest in Old Dominion. Now here is Adam Satterfield to review our first quarter numbers in greater detail.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Thank you, Greg, and good morning. Old Dominion's revenue grew 22.7% in the first quarter to $925 million. Our operating ratio improved 180 basis points to 83.9% and our income before tax increased 37.6%. Earnings per diluted share benefited from a lower effective tax rate and increased 66.3% to $1.33 for the quarter. Our revenue growth for the first quarter once again included a nice mix of increases in LTL tonnage and yield. LTL tons per day increased 15.4% as compared to the first quarter of 2017 with LTL shipments per day increasing 10.5% and LTL weight per shipment increasing 4.5%. We were pleased to see the accelerated pace of revenue growth that began last year continue into the first quarter. Our growth continues to be supported by the strength of the domestic economy and general tightness of capacity within the transportation industry, which has created an environment where our business model shines. Looking at our growth on a sequential basis, first quarter LTL shipments per day increased 0.2% as compared to the fourth quarter of 2017, which was generally in line with the 10-year average sequential trend. LTL tons per day for the quarter decreased 0.4% as compared to a decrease of 0.9% for the long-term average. Monthly sequential changes in LTL tons per day during the first quarter were as follows: January increased 0.8% as compared with December. February increased 2.9% versus January and March increased 2.6% as compared to February. The 10-year average change for the respective months are an increase of 1.9% in January, an increase of 1.7% in February and an increase of 5.2% in March. Please remember, however, that Good Friday was in March this year and the average sequential change for March when that is the case would be an increase of 2.9%, but we're pretty much in line for March. Update you on our volume trends thus far into April. LTL tons per day have increased between 15.5% and 16% as compared with April 2017 and this includes a 3% increase in LTL weight per shipment. As usual, we will provide actual April information with our first quarter 10-Q filing. The operating ratio for the first quarter improved 180 basis points to 83.9% with improvement in both our direct operating costs and our overhead expenses as a percent of revenue. Salaries, wages and benefit cost as a percent of revenue improved 100 basis points when compared to the first quarter of 2017, despite the impact of the anticipated increase in fringe benefit costs that we had discussed with you on our fourth quarter call. We will remain focused on matching our labor capacity with growth in LTL shipments during 2018, and as expected, those two metrics became more closely aligned in the first quarter consistent with historical trends. Old Dominion's cash flow from operations totaled $211.2 million for the first quarter and capital expenditures were $100.6 million. As noted in our release this morning, we increased our estimate for capital expenditures this year by $45 million based on our anticipated needs for the remainder of the year, while also giving some consideration for 2019. Our total is now estimated to be $555 million, which includes $310 million for tractors and trailers and approximately $200 million for real estate and service center expansion projects. We returned $28 million of capital to our shareholders during the first quarter and that total included $17.3 million of share repurchases after we began to repurchase shares in February. Our effective tax rate for the first quarter of 2018 was 25.9% which was favorably impacted by the Tax Cuts and Jobs Act as well as other favorable discrete tax items. Currently, anticipate an effective tax rate of 26.2% for each of the remaining quarters of 2018. This concludes our prepared remarks this morning. Operator, we'll be happy to open the floor for questions at this time.
Operator: Thank you. Amit Mehrotra of Deutsche Bank.
Amit Mehrotra - Deutsche Bank Securities, Inc.: Hey thanks, guys. Thanks for taking the question. Appreciate it. Congrats on the good results. Adam, I think the incremental margin performance is kind of exactly what we would expect in terms of the middle of that sort of 20% to 30% book end. You know given the incremental investment and costs, you know the CapEx coming up a little bit, would you expect the incremental margin to kind of more trend now towards that 20% prospectively for the remainder of the quarter? Is that kind of the right way to think about as you progress through the year? Thanks.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Keep in mind, that we have said that the range is really 20% to 25% when you look over a longer-term and certainly there have been quarters where we've achieved 30% and really that's just when you break down our operating ratio, the direct operating cost or generally if you look at an 83% operating ratio rounded for last year, 60% to 65% of that is the direct operating cost and then 20% to 25% is our overhead type of expenses. So that kind of leverage that we can get in growth periods is why you can see that 30% type of number, but the 20% to 25% range. We've averaged about a 25% incremental more margin since 2010 and that's probably a more appropriate type of number. Keep in mind that in higher growth periods, it's a little tougher to achieve some of those higher numbers because you end up with just some inefficiencies that come with the growth and there's more that obviously you have to put to the bottom-line, but I thought that the 24% in the first quarter was good considering some of the loss of productivity that we had on our dock and the P&D operations and then just some of the other cost increases that we had in some of the other types of lines like miscellaneous expenses and some of the other expenses as well.
Amit Mehrotra - Deutsche Bank Securities, Inc.: Yeah. Okay. That makes sense. And then just a follow-up for me. I know you provided the April year-on-year. If you could just – I don't know if you provided the sequential and how that trend has trended versus historical? And then also just related to that, it would be helpful to just update us on what you're seeing on the spot side of the business in terms of frequency of spot quotes and also the weigh trajectory. Just trying to see if we're starting to see any truckload spillover, given the tightness in that network onto the LTLs? Thanks.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: The April, I didn't give it, but the normal sequential trend is a 0.7% increase, but just like in my prepared comments about the Good Friday impact in March, it's got the reverse impact in April. So, when you look at the few years in the past dozen or so that where Good Friday was in March, the April increase would be a 2.2%. So where we are today which is between 15.5% and 16% is pretty much in line with that number, maybe slightly above, but for the most part in line. In terms of any spillover effects, similar to what we've said in prior periods. We try to control the growth. Most of those heavy weight shipments would come in through a spot quote type of basis and whether that's phone calls or through our website, and basically we turn up the rates to try to make sure that our operations doesn't get overwhelmed with any heavy weighted transactional type shipments, that may be more one-time in nature it's not consistent business that we would retain. We certainly don't want to disrupt our normal LTL shippers. I think the incoming calls may have increased, but we've done our best to try to control some of what you can see that may be a different type of indicators. When I look through our top 50 customers and look at the third-party logistics companies, that's what we're seeing; a lot of the increase in our weight per shipment there and I think some of that is probably indicative of the 3PLs that are able to maximize the relationships they were in earlier periods when truckload was a little bit weaker and maybe we're able to secure a capacity where there's a multi-stop type of arrangement. And now that that capacity is tightened up, they're moving heavier weighted shipments that should be in the LTL world back into our environment. So we've seen really a low double-digit type increase in weight per shipment in those 3PLs in our top 50.
Amit Mehrotra - Deutsche Bank Securities, Inc.: Yeah. That's really helpful color. Thank you so much, guys. Appreciate it, everyone.
Operator: Next we'll hear from Chris Wetherbee of Citi.
Chris Wetherbee - Citigroup Global Markets, Inc.: Yeah. Hey thanks. Good morning. Wanted to touch a little bit on pricing and just get a sense of sort of how you see that trending, and I guess as the first quarter progressed, and then maybe some thoughts on April.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Sure. It's obviously been a very favorable pricing environment and we've just continued to execute on our long-term pricing philosophy and trying to get the necessary increase to achieve or offset our cost inflation rather as well as to provide a return to continue to invest in our business and whether that's capacity and technology and so forth and things that our customers are demanding. I think that we saw improvement as we progressed through the first quarter. And our numbers when you look at the revenue per hundredweight excluding fuel was up 3.7% and that's even including a 4.5% increase in the weight per shipment and the 0.7% decrease in length of haul. So, there's not a linear relationship there. You can't necessarily apply those factors because there's a lot of mix change and so forth that also goes into it, but at the end of the day we were able to get revenue per shipment increases to offset the cost per shipment increases that we experienced in the first quarter and so that was a big driver of the operating ratio improvement.
Chris Wetherbee - Citigroup Global Markets, Inc.: Yeah. Okay. Now that makes sense. And I think that's consistent you guys have talked about maybe that cost per shipment running up in the neighborhood of 4% to maybe 4.5% this year. Is that still sort of the right way to think about it? And I guess when that – I guess that sort of relationship between price and cost, I think you've said in the past that maybe you could be towards the upper end of that band on a pricing basis. Just kind of curious your thoughts around that?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Yeah. I mean from a yield and continue to try to separate yield from price because they're two different things, but over a longer-term basis, I mean our pricing philosophy has been what I said to try to get the necessary increases. And when you look back since 2001, revenue per shipment has averaged a 4.8% increase versus our cost per shipment increasing 4%. And so that's what we've been able to achieve over the longer run. In terms of the cost per shipment transfer this year, on our last quarter call I did indicate that we anticipated cost to be up 4% to 4.5% and probably at the north end of that range. And frankly in the first quarter, we had higher cost inflation than that. It was a little north of 7% when you take fuel out and there were some different cost elements going in that impacted that, but I do believe that we'll get back to that for 4% to 4.5% range in the remaining quarters of this year and certainly that's our goal.
Chris Wetherbee - Citigroup Global Markets, Inc.: Okay. That's very helpful. Thanks for the time. Appreciate it.
Operator: Next we'll hear from Allison Landry with Credit Suisse.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Thanks. Good morning. So thinking about head count, the increase year-over-year was obviously less than tonnage growth in the quarter. Is that what we should continue to expect for the next two quarters to three quarters, hoping just to get a sense of where you think you are from a resource standpoint relative to demand?
Greg C. Gantt - Old Dominion Freight Line, Inc.: Allison, this is Greg. We are hiring – we have a push on hiring and have had the entire year as we continue to grow and our tonnages continue to increase. We are hiring to meet those demands. So, it will trend somewhere in line with our growth, I would expect, but we are pushing very, very hard to hire to keep up with demand and that is a daily challenge, but so far so good.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Okay. Are you seeing more pressure in terms of recruitment for drivers? I mean, of course it's not what the TL carriers are seeing, but just curious with the labor market being very tight, if that's an incremental challenge for you guys.
Greg C. Gantt - Old Dominion Freight Line, Inc.: The challenge ramps up as the growth increases obviously, but we're fortunate in that we train a very large percentage of our drivers. They come off of our platform and our truckload carriers don't have that chance. They don't have platforms. So fortunately for us, we've got a pretty good source to start with, but we are able to hire. Biggest challenge is to catch the need. Sometimes the business comes quicker than you can do the hiring and training and whatnot, but that's what Adam was talking about with the overruns we had on the platform and P&D is just, you can get them. But to get them up to speed, to get them trained and whatnot, it takes some time.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Right. Okay. And then my other question; just thinking about the weight per shipment. Adam, I know that you mentioned April sort of decelerated to around 3% year-over-year which of course is a step-down from the 4.5% in Q1 and it doesn't look like the comps are much – I mean they're a little bit easier. So I just was wondering how to think about what may have changed in terms of what would have driven that deceleration?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: (00:26:10) well, it's just cycled down a little bit. We got up to a peak of about 1,660 pounds in December of last year. That dropped a little bit in January to 1,640 pounds, which usually drops more than that. And then we have scaled back a little bit further to like 1,625 pounds in February and March and now we're right at about 1,600 pounds. So a lot of that just gets into the mix of freight that we're hauling. I don't necessarily think that there's any particular driver or whatnot that's going into that number. I was looking through some of the accounts that are showing decreases in weight per shipment and a lot of it looks like that we've got one that's got a big decrease, but we've had like 60% growth with that particular account. So when you grow that heavy with anyone, you're just getting a different mix of freight and I think that's really what the driver of some the pullback has been, but for us I think if we can see our weight per shipment somewhere around 1,600 pounds which is somewhere back in the ballpark that we were seeing in 2013 and 2014, that'd be a good thing for us. We're good with that.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Okay. And that's about where you are now. Is that correct?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Correct.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Or in April. Okay. Perfect. Thank you.
David S. Congdon - Old Dominion Freight Line, Inc.: Allison, let me add one thing. So as our volumes in general with our LTL customers have been increasing fairly significantly, we keep turning up the volume or the price on our spot quote business, which tends to keep that from growing. And the LTL customers have lower weight per shipment. So part of it is probably that, where we turn up the pricing on volume shipments so that we can grow more LTL shipments, which brings the weight per shipment down naturally.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Okay. Thank you.
Greg C. Gantt - Old Dominion Freight Line, Inc.: And also, Allison as is typical as you length of haul drops, typically your weight per shipment will drop as well on comp (00:28:26).
Allison M. Landry - Credit Suisse Securities (USA) LLC: Great. Okay. Thank you, guys.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Yeah.
Operator: Next we'll hear from Brad Delco of Stephens.
Scott Anthony Schoenhaus - Stephens, Inc.: Hi guys. This is actually Scott Schoenhaus on for Brad. I guess I just wanted to follow up a little bit on the pricing environment. You talked about your spot business just now. Are you guys planning on putting any general rate increase like your competitors have put in for this year? I think they've all put in about 5.9%.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: We obviously will put one in at some point and it's something that we're still looking at and considering, but when the time is right, we're evaluating it frankly. We'll be out with one. Nothing has been announced to-date.
Scott Anthony Schoenhaus - Stephens, Inc.: Okay. Thanks Adam. And I guess as my follow-up, a lot of discussion on the productivity pressure I guess in the first quarter. Is there any way to put some numbers on exactly what that did to incremental margins and so that we can think about going forward when you're continuing to hire given the tonnage growth, how to better model these incremental margins and the effect from lower productivity on new hires?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: I don't know that there's any math that goes into that. Obviously, when you bring on new people and we've obviously got a lot of new employees on the dock, in particular, you know with the increases that we've had. And you know they're not as productive. And it takes – there's a learning curve of probably three to six months or so, but those employees are coming in at a lower wage as well. So there's a little bit of offset there but obviously we'd like to see them continue – the productivity metrics, that is, continue to improve and I think we've got some opportunity there as these employees that we brought on continue to gain experience. And the most important thing for us is to make sure that we're not letting our service metrics slip in any way. And service we continue to repeat it but service has really been the story behind our market share opportunity. And so we certainly want to make sure that despite the growth rates that we've seen that we certainly can keep those service metrics high.
David S. Congdon - Old Dominion Freight Line, Inc.: I'll add. This is David, that we can't even calculate a correlation between productivity metrics and incremental margins. So it would be hard to model that exactly. It's just very hard to model that. I guess the only thing you can sort of model is how many dollars you might lose in platform dollars, or P&D, pickup and delivery dollars because of a lower productivity. That'd be the only way to do it. We don't even try to correlate it to what our incremental margin is. It just is what it is at the end of every quarter.
Scott Anthony Schoenhaus - Stephens, Inc.: Appreciate the color guys. I'll hop in the queue. Thank you.
Operator: Next we'll hear from Ravi Shanker of Morgan Stanley.
Shaked Atia - Morgan Stanley & Co. LLC: Hi, everyone. This is actually Shaked Atia here for Ravi. Thank you for taking my question. Quick follow-up on operating ratio. You typically see a 400 basis point improvement from the first quarter to the second quarter. Anything we should keep in mind that might keep that improvement more muted perhaps?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Well I mean that's been pretty consistent and it's about a 430 basis point. It's been the 10-year change there, which may make the – when you do the math from the first quarter ratio may make things interesting for what that potential could be in the second quarter, but we're going to continue to be disciplined with respect to our cost and continue to make strides and you know the productivity categories, but there's nothing that we see coming or that significant unusual or different in any way that we feel the need to sort of point out at least that we're aware of at this point.
Shaked Atia - Morgan Stanley & Co. LLC: Okay. Great. And just my follow-up. So you did increase CapEx for the year. Can you maybe speak about the cadence of that throughout the year and how that might look like?
David S. Congdon - Old Dominion Freight Line, Inc.: We increased our orders for both tractors and trailers. And the tractors should come in pretty much in line with what our normal delivery schedule was going to be regardless, and then the trailers would be similar. So I mean there would be a progression as we go through the second and third quarters getting things in as we're building up to the peaks later in the year, but some of the orders and considerations that we had to give was just based on the fact that everything you read and hear about order books billing up, we're certainly going to have a need for our equipment in 2019 whether it's what our normal replacements are going to be. And we haven't seen any signs or heard anything that would suggest that things will be changing with the economy. So we still feel like we've got some good growth opportunity ahead and we just want to make sure that we had the necessary equipment capacity to be in place to meet what our growth objectives would be.
Shaked Atia - Morgan Stanley & Co. LLC: Great. Thank you. That's helpful. That's it for me.
Operator: Matt Reustle of Goldman Sachs.
Matthew Reustle - Goldman Sachs & Co. LLC: Hey thanks for taking my question, guys. Just going back to the weight per shipment just so I can understand it correctly. It sounds like you're continuing to see your customers increase their order size, but the mix of freight is changing. And the reason it feels like a pretty good barometer I think you referenced in the last quarter for the macro environment. So I just wanted to understand those two drivers there.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: I think the macro continues to be strong from every measurement that we have and my only point about the weight per shipment cycling down somewhat is just that we're growing significantly with a lot of our big accounts. And with that growth comes a different mix of shipments in many ways. And sometimes you're awarded whether it's a different DC or different states or whatever and it can have a big impact on the weight per shipment based on the commodity that we might be hauling. So I wouldn't read too much into the fact that the rate of growth and our weight per shipment has slowed down. Every indicator that we have and feedback that we're receiving from customers continues to show signs of strength with the economy, and we don't necessarily think that any pullback in our weight per shipment would suggest otherwise.
Matthew Reustle - Goldman Sachs & Co. LLC: Got it. Thank you. And then it's somewhat related in terms of market share growth versus general market growth. How would you discuss those dynamics and what you are seeing? And as you look into the second half of the year, I mean do you think you'll see a continuation of the market share growth that you guys have experienced recently?
David S. Congdon - Old Dominion Freight Line, Inc.: Our growth is mainly market share driven and so obviously we've got the support of the economy, but I think that it gets back. We always say that our long-term growth comes in the form of three things; delivering superior service, delivering that service at a fair price and maintaining adequate capacity to be able to grow. And I think that there's something to be said for the fact that we're consistently investing 12% to 15% of our revenue into our capital expenditures and that's certainly provided adequate network capacity, which we try to maintain at around 25% to accommodate growth. And with the growth that we've had, the network capacity isn't necessarily at that 25%. It's probably in the 15% to 20% range and maybe even in the lower side of that scale, but we've got a strong CapEx program to address any specific needs at the terminal level for capacity. We talked about equipment capacity and I think we've talked about getting the people in place to make sure that we can achieve our growth objectives for this year. So we feel like that everything is in place for us to continue to grow. The last piece that maybe gets overlooked too is these things aren't just percentages. You got to commend our sales force. There's a lot of men and women out in the field everyday going out and selling more business and they're doing a great job at it. So we certainly commend them.
Matthew Reustle - Goldman Sachs & Co. LLC: Thank you very much.
Operator: And next we'll hear from to Todd Fowler of KeyBanc Capital Markets.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Great. Thanks. Good morning. Greg or Adam, I'm not sure if you've shared this but I think in the past you've talked about how our contract renewals are coming in. And I think I understand the impact of weight per shipment and length of haul on yields, but do you have a number on what you're seeing from the contract renewals? And then just with respect to the timing of the contracts in this environment, do you still work through the book just ratably on a quarterly basis or do you make efforts to address some underperforming accounts just given the tightness that we're seeing in the market maybe some ability to pull forward some of the pricing?
Greg C. Gantt - Old Dominion Freight Line, Inc.: Todd, this is Greg. We will certainly review underperforming accounts, but most of our contractual accounts come up annually and that's when we typically look at the account has to perform and what we need and then we go from there. But the each accounts differ. We look at each account on an individual basis and we look at each lane of each account. So we'll look at it, try to determine what our needs are, maybe what we're better off without. Can we grow in certain other lanes and whatnot. So that's kind of an ongoing process that we look at every day, but out of cycle unless something is really out of whack we don't particularly do that again unless it's ugly. If it's ugly, we'll look at it. Otherwise, it's on an annual, when it's up for renewal.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay. That makes sense. And then did you have a number specifically for where the contract renewals are right now or would you care to share something like that?
Greg C. Gantt - Old Dominion Freight Line, Inc.: Probably not – probably don't want to share it. Again, it's on an individual basis.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay. That's fine. And then Adam, just to come back to the conversation on the cost per shipments. Understanding that you're a little bit higher than the range with what you're expecting for the full year here in the first quarter. It sounds like that there's hiring that's going to come through. You're going to be adding some equipments later in the year. So to get you back into the range that 4% to 4.5%, should we think about that mostly as the employee productivity improving. Is it a function of seeing some of the yield improvements going through the years, is it some seasonality. Just at a high level, how do you go from being above that range right now to kind of getting back within that range as the year progresses?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Some of it. We had some specific increases that you see that, I think, were non-routine necessarily, but nothing material to call out. To start with, we talked about the fact that our fringe benefit cost would increase this year and that increased a little bit more than anticipated, but some of that was performance base driven. And if there's an increase in our 401(k) match related to the change in our effective tax rate, that was probably a couple million dollars and that'll be continuing, our health, vacation, sick, our paid time-off policies. There were some increases related to that but we had increased Phantom Stock expense in the first quarter that related to the improvement in our share price. So that some of it, there is a miscellaneous expenses. They were at 0.9%. That was a bit higher than expected and included some bad debt expense that we certainly not going to – would hope will not continue to repeat and there are just some other little things like that that may be stacked up against this where you've got other types of things that sometimes offset one versus another.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay. So it sounds like even though you had strong incremental margin performance here in the quarter, there were also some miscellaneous costs embedded in the numbers that again you're not calling out as non-recurring, but were unfavorable from a reported results standpoint?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: I mean the reality is there's always going to be things like this that come up and it's doing business and we're going to incur some of those costs. And that's why we just – it's not always going to be one specific number that we can manage to any particular quarter, but probably just had a little bit more of some other things in this particular period than another.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay. That's helpful. Thanks for the time this morning. Nice quarter.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: (00:42:44) Todd.
Operator: Next we'll hear from our Ariel Rosa of Bank of America Merrill Lynch.
Ariel Rosa - Bank of America Merrill Lynch: Hey good morning, guys. And just really quickly congratulations to Greg, David and Earl on the new roles and the work they've done. So just first question wanted to know, did you guys see any weather impact? A bunch of transportation companies have been calling out kind of a challenging weather conditions in the first quarter. We haven't really talked about it as it impacted OD. Just wanted to see your thoughts on how it may be impacted operations?
Greg C. Gantt - Old Dominion Freight Line, Inc.: It was a tough winter and it was a long winter. I think maybe it's finally started to subside and turn spring in most of the country, but it was a long winter. It's not something we dwell on or talk about because we can't do anything about it. It is what it is. You have to deal with it. Do the best you can and move on. We certainly don't dwell on it. We try to deal with it, do the best we can, but thank goodness it's about over because it was long and it was very scattered this year. We had a lot of issues in the West, and then we had them across the Midwest to the North. So it was a very long winter.
Ariel Rosa - Bank of America Merrill Lynch: Hopefully we won't see any more snow in the northeast, but you can never be sure I guess.
Greg C. Gantt - Old Dominion Freight Line, Inc.: Right. We're looking forward to a little spring and a lot of summer.
Ariel Rosa - Bank of America Merrill Lynch: Absolutely. So second question, I wanted to ask Greg specifically. Obviously you've been with the company for some time, but given the new role, are there any initiatives that you're undertaking or any kind of strategic initiatives that you're going to prioritize that might be a little bit different from the predecessors?
Greg C. Gantt - Old Dominion Freight Line, Inc.: Not really. We have a strategy and I'll certainly continue to try to execute it just as we have done in the past. So not really any new initiatives particularly, a lot of internal things that we'll be working on, but not any new particular initiatives we're talking about.
Ariel Rosa - Bank of America Merrill Lynch: Okay. Great. And then just I guess last question. Wanted to get your sense on – some industrial companies have talked through first quarter earnings about maybe this being as good as it gets. Just wanted to hear your thoughts on kind of the sustainability of the current operating environment. Can these really favorable conditions, can they last another one quarter, two quarters, or do you see this kind of lasting maybe two to three years out? And then within that, kind of your thinking on the growth initiatives. Obviously you're upping your spending on trucks. Is that kind of a permanently higher plateau that you'd like to achieve or is more of that focused on kind of replacement CapEx? Maybe your thoughts around just kind of where the market environment stands and how long this could go on for.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: The first part of your question may be beyond the scope of our economic forecasting abilities, but certainly it's a very favorable operating environment for us. We often talk about the mix of our business being leaning towards industrial with about 60% industrial and 25% retail, but the reality is we still believe in the health of the LTL industry long-term. And we think we're better positioned than anyone in this space. And so I think we've got tremendous market share opportunities. We're seeing good growth with our customers in the industrial space, but we're also seeing there's probably more growth with our retail oriented customers here in the quarter. And I think that gets back to the fact that supply chains are becoming more sophisticated. And when shippers are looking for someone to provide consistent, on-time and claims free services, they're meeting tighter delivery times and appointment times into distribution centers, we certainly fill that need and we've got increased demand there. So we feel like we've got tremendous opportunity to continue to increase our market share and the fact that getting back to the investments that we have made, it's for long-term capacity because we believe in our long-term growth capabilities.
Ariel Rosa - Bank of America Merrill Lynch: Okay. Terrific. Thanks for the time.
Operator: David Ross with Stifel.
David G. Ross - Stifel, Nicolaus & Co., Inc.: Yes. Good morning, everyone, and congrats on the evolution there, Earl, David and Greg, your respective roles. With the truck orders coming up by few hundred trucks Adam, did you place those orders in 1Q and do you feel because of the rush for orders and the order book filling up and the backlog increasing that you essentially had to place all of them in 1Q?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: We actually had put them in earlier with the others and we were kind of ...
David S. Congdon - Old Dominion Freight Line, Inc.: In order to get the slots.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: That's right. We sort of had them out there as a contingency with the idea that we would evaluate what our volume trends were. And you know continuing to look out at how our growth in the current period was and what we thought we might continue to achieve in the back half of this year into 2019 and what replacement cycle would be there. So on the tractor side that was the case. On the trailer side, that was a more recent type of thing and just looking at basically the capacity and mainly this is going to be designated in our van pool, but just looking at what our trailing equipment capacity was and where we were continuing to see some rentals in some places and just felt the need that this fits within the operation and certainly made sense to go ahead and get the orders in if we could.
David G. Ross - Stifel, Nicolaus & Co., Inc.: And with the tight capacity environment, is there any more noise being made about I guess resurrecting the twin 33 conversation in D.C.?
Greg C. Gantt - Old Dominion Freight Line, Inc.: Not from Old Dominion. We studied twin 33s and just honestly could not – once we got really deep into our study, we see some lanes where they can help us, but we're not going to be a strong proponent but we're not against them either. If someone else wants to fight the fight, they can and we'll figure out how and where we can make the most use of them if they come to pass, but we're not going be a strong proponent of it, D.C.
David G. Ross - Stifel, Nicolaus & Co., Inc.: Excellent. Thank you.
Operator: Scott Group of Wolfe Research.
Scott H. Group - Wolfe Research LLC: Hey, thanks. Morning, guys.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Morning, Scott.
Scott H. Group - Wolfe Research LLC: Adam, I don't think I heard March year-over-year tonnage and then I don't know if you can give an update on April revenue per hundredweight.
Adam N. Satterfield - Old Dominion Freight Line, Inc.: The March year-over-year tons was – it was 14.6% and I didn't give an update on the revenue per hundredweight, but it's, with the fuel, was trending at about where we were in the first quarter. So kind of in that 6% range but that'll be something – we should give that in our 10-Q as well.
Scott H. Group - Wolfe Research LLC: Okay. Helpful. How should we think about oil at a multi-year high? Is that still an earnings tailwind for you? Does it help or hurt incremental margins? Can you just give us a reminder about how to think about oil here?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: I mean oil just – I mean it's – becomes a variable component of pricing [Technical Difficulty] (00:51:04) fuel surcharge and then you've got the cost increase. Typically what you'll see when fuel is rising is our labor cost as a percent of revenue, we'll see a benefit. But then you've got the offsetting increases in fuel and other petroleum related products and that's primarily why we look at our total direct operating cost all sort of combined in one. Perhaps it gives the appearance when you consider the overhead types of cost if you've got a little bit more fuel surcharge revenue in one period versus another, but we try to look at all the components of both revenue and the cost streams that go into our account profitability and costing model. And those are one of the – that's just one of many elements that we have to consider when it comes to the customer profitability.
Scott H. Group - Wolfe Research LLC: But is rising oil still the net earnings benefit it used to be or not as much anymore?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: I don't know that that would be the case because obviously we've got the – we're going to have our cost increasing as well. And we've looked at our fuel surcharge table a couple of years ago when the fuel was decreasing. And we went out and tried to look at the way the table works both on the lower end and in a rising environment as well to make sure that we've got a surcharge program in place that helps us meet our profitability objectives wherever fuel is in any particular band.
Scott H. Group - Wolfe Research LLC: Okay. Makes sense. And then just last one real quick. I know you guys typically do – I think you do mid-year wage increases. Given the labor market, do you feel like you have to do a higher than normal increase this year or is it going to be sort of typical?
David S. Congdon - Old Dominion Freight Line, Inc.: I would say it would probably be typical. We haven't talked a whole lot about that. We give our increase the first week of September, but we're still a few months off it. We'll start to look at it over the next couple of months and make a decision from there, but we're not there yet.
Scott H. Group - Wolfe Research LLC: Okay. Thank you for the time, guys.
Operator: Willard Milby of Seaport Global has our next question.
Willard Milby - Seaport Global Securities LLC: Hey good morning, everybody. So with the upping of the CapEx and the trailers and kind of hiring to meet demand, would you think that you're going to have to step up hiring or would – if you had the opportunity to hire at will, would you think you'd have the same step-up in the second half of this year that you might have seen in the second half of 2017?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Keep in mind the second half of 2017 we got behind the curve a little bit and the growth really stepped up as we progressed. We weren't really growing or we grew at 6.5% I think our revenue in the first quarter and that stepped up to 11% to 12% in the second and third quarters and then stepped up again in the fourth. So I think we talked about the fact that we had to hire quite a bit in the back half of the year including the fourth quarter, which normally wouldn't happen. So I think we've got our workforce in good shape right now with where we are and our head count was a little bit higher than our shipment growth, which those two numbers are more closely aligned. It's the shipments not necessarily the tonnage that we're basing things on, but the hiring decision comes down to the managers in the local markets. They know what growth they think they will be able to achieve and so we monitor labor to revenue trends very closely, but we want to make sure that we've got people in place to be able to make pickups and deliveries to keep rate moving. So I think that we anticipated seeing the numbers, the growth in head count more closely aligned with shipment counts this year, it's what we saw in the first quarter, and it's probably what you'll see as we continue to progress through the year.
Willard Milby - Seaport Global Securities LLC: All right. Thanks very much. And if I could kind of go back to the Scott's question on the driver wages. You're talking about 4% to 4.5% to cover your cost increases on these accounts and I'm assuming the drivers are the biggest bucket there. Is there not a step up from the historical 3% to 3.5% rate you might have been putting in with driver increases and can you talk about what, I guess, the second biggest bucket of that cost inflation is?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: Salaries, wages and benefits are the biggest element. And then the fuel and operate supplies. And you know when I was talking about breaking down our operating ratio earlier, those direct operating costs including purchase transportation and operating taxes and insurance, and so forth are 60% to 65% as a percent of revenue whereas overhead is in the 20% to 25% range. So it's wage and benefit cost which we anticipated the inflation and that went into that 4% to 4.5% number as well as all the other incremental operating supplies, general supplies and other overhead categories as well.
Willard Milby - Seaport Global Securities LLC: All right. Thanks for the time guys.
Operator: And next we'll hear from Tyler Brown of Raymond James.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Hey, good morning, guys. Hey you guys upped the CapEx on the rolling stock side, but I'm curious about the real estate side. So obviously you got a $200 million, that's a big budget, but how are you feeling about actually being able to deploy that capital? So I guess my question is you've got a really tight industrial real estate market, at a time seems to be a very difficult permitting environment in some parts of the country, are you having success finding the land parcels that you guys need to grow?
Greg C. Gantt - Old Dominion Freight Line, Inc.: Yeah. We have some locations where we're having issues, but yes we're having some success as well. We do have a very aggressive CapEx on that side as you know and we are executing. So we were looking at potential increases in our door counts this morning and it looks like it could definitely be significant, but we have numerous facilities under construction now that should open within the next one to three, four, five months and then we are purchasing quite a bit of property. So we're having success but there are locations where it's a little more difficult and it's expensive.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Right.
Greg C. Gantt - Old Dominion Freight Line, Inc.: Far more so than it used to be.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Right. Yeah, no that's for sure. There's no doubt about that, but how much of the budget is simple door expansions at existing facilities and how much of it is actually going out and buying let's say a parcel and developing a greenfield site?
Greg C. Gantt - Old Dominion Freight Line, Inc.: It's more so – I don't know that we've looked at that specifically, but it's more so on the property side right now than additional doors; a lot of the doors, a lot of the money that we have in there for doors actually was started last year.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. Okay that's helpful.
Greg C. Gantt - Old Dominion Freight Line, Inc.: Those properties are in the process of finishing, as we speak.
David S. Congdon - Old Dominion Freight Line, Inc.: And Tyler, we started the year with 228 facilities and felt like we'd open somewhere between 7 to 10 service centers here and probably increase our door capacity more than we have in many years as well. And some of that, that continuation of projects that really just fell over from last year into the early part of this one that Greg just mentioned.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. Yeah. No, that's very helpful. And then Adam maybe going back to the salaries and wage line, but it seems like you got a really noisy year this year. I mean we've got that PPO change, I think you mentioned Phantom Stock 401(k) match. I think you had a really good healthcare experience last year, if I'm not mistaken. And I think you have obviously the wage increases, but can you talk about all in total salaries, wages and benefits. What you expect that type of unit cost inflation to be? I'm assuming that's going to be north of the 4% to 4.5%?
Adam N. Satterfield - Old Dominion Freight Line, Inc.: I don't necessarily want to give that level of detail, but what I'll give you and what we normally put in our 10-Q is that our fringe benefit rate which is our fringe benefit cost as a percent of salaries and wages, it's typically about – or last year it's just a little under 34% and that number was about 35.5% in the first quarter of 2018. So when you do the math on that, that was an incremental $7 million. If you just use the rate that we had in the first quarter last year, $7 million of extra cost and we had some pluses and minuses that went in there and the few that I've already mentioned, but there's a lot of things that go in there with respect to payroll taxes and health trends which continue to be favorable in the first quarter of this year. Workers' compensation was good. So I mean it's a hodgepodge of cost and I do think that that number, all right, expect to see it reduce in future periods back to more the 34%, 34.5% of salaries and wages is where I'd like to see it.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. Perfect. Now that's very helpful. Thanks, guys.
Operator: And at this time, there are no further questions. I will turn the conference back over to David for any additional or closing comments.
David S. Congdon - Old Dominion Freight Line, Inc.: We'd like to thank all of you for your participation today. Great questions and please feel free to call us if we can answer anything further. Thanks and have a great day.
Operator: And that does conclude today's conference. Thank you all for your participation. You may now disconnect.